Operator: Good afternoon and welcome to the Cable One CABO Earnings Report Q2 2019 Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Steven Cochran, CFO. Please go ahead.
Steven Cochran: Thank you, Ashley. Good afternoon, and welcome to Cable One’s Second Quarter 2019 Earnings Call. We’re glad to have you join us as we review our results. Before we proceed, I would like to remind you that today’s discussion may contain forward-looking statements relating to future events and expectations. You can find factors that could cause Cable One’s actual results to differ materially from these projections listed in today’s earnings release and in our recent SEC filings. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, today’s remarks will include the discussion of certain financial measures that are not presented in conformity with U.S. generally accepted accounting principles. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today’s call is our President and CEO, Julie Laulis. With that, let me turn the call over to Julie.
Julie Laulis: Thank you, Steven. Good afternoon, and thank you for joining us for our second quarter 2019 earnings call and our first earnings call with a large portion of our company now branded as Sparklight. I will review a few highlights and then hand it over to Steven for a full recap of our financial performance. First, I would like to thank our associates for providing our customers with outstanding service. As a result of their commitment and dedication, we were recently recognized by Cablefax as the top customer service provider amongst all midsize operators. Additionally, we were honored to be named on the Forbes 2019 list of America’s best midsize employers.  Cable One was the only MSO recognized on this list. Our positive second quarter results flow from the work of those outstanding associates. Some highlights include year-over-year increases in total revenues of 6.4% and adjusted EBITDA of 8.1%. Our adjusted EBITDA margins increased 80 basis points year-over-year to 48.2% for the quarter. The solid growth and improved margins are reflective of the sustained mix shift driven by our business strategy, the impact of our new residential HSD pricing and packaging and the continuous improvement mindset with which we run our business. We saw a 3.4% residential HSD unit increase. Some residential HSD ARPU was up 4.9% year-over-year, resulting in an 8.5% increase in residential HSD revenues. Business service revenues were up 29.3% year-over-year or 11.7%, excluding the impact of Clearwave. We are very pleased that our 2 primary growth drivers are performing so well. Our residential HSD pricing and packaging changes have resulted in a nice mix of unit and ARPU increases, which are being fueled by customer choice rather than implementing an across-the-board rate adjustment. We have also been taking a steadily increasing share of business services segment by generating more sales upmarket from the existing customer base. We see this work as vital to driving our core business, which is a top priority. In parallel, we are devoting significant resources towards integration planning and execution associated with our three accretive acquisitions. On top of those activities, we have allocated ample efforts to our Sparklight rebrand in legacy Cable One markets, which our customers began seeing in early June. While we are nearing the end of the NewWave integration efforts, we still have projects that are creating real value and improving the customer experience. Our teams are making significant progress with network upgrades and standardization and we are in the process of launching gigabit speeds across the majority of these markets as well as implementing usage-based billing. The migration of phone customers onto our provisioning is essentially complete, which will result in further synergy realization. Finally, we are in the process of decommissioning the office and data center in Sikeston, Missouri while finalizing our expansion of the customer care and operations center in nearby Poplar Bluff. With this expansion, all care centers will be fully integrated. While there are first of simulation activity in connection with the Clearwave acquisition, we are pursuing operational synergies by aligning our teams more closely so that we are maximizing learnings across the entire organization. Meanwhile, we are excited to support Clearwave’s expansion plans while helping them develop and implement strategies to accelerate growth. We believe Clearwave is well-positioned to continue its upward sales trajectory, and we are investing in that business to capture even further gains. We have also been very fortunate to get to know the team at Fidelity prior to close. We appreciate the enthusiasm and the spirit of teamwork from both the ownership group and the associates who will be joining us as we prepare for the expected closing of this transaction. Not surprisingly, Fidelity is having another strong year as well, which is reflective of their leadership and focus. Fidelity is a great company in wonderful markets, but more importantly, we are gaining a talented group of associates who we believe will fit in very nicely at Cable One. We are making excellent progress on our rebrand to Sparklight. Our website and customer billing now reflect our new brand, associates in our systems are wearing Sparklight uniforms and badges and truck reps and signage are well underway. We have engaged both associates and customers in the new brand through a variety of mediums, and we are thrilled by the positive response we’ve received. We’ll be hosting Sparklight launch parties for the communities we serve throughout the remainder of the summer and into the fall to engage our customers with our new brand. We were pleased to announce another dividend increase earlier this week of 12.5% to a $2.25 per share quarterly dividend or from $8 to $9 per share on an annualized basis. Before I hand the call over to Steven, I’d like to take a moment to welcome Mary Meduski, the newest member of the Cable One Board. We are very fortunate to have an accomplished and engaged Board, and Mary will further add to that with her insight and extensive background in media, telecommunications and technology industries. And now Steven will provide more financial details on our second quarter results.
Steven Cochran: Thanks, Julie. The second quarter of 2019 once again produced strong financial results. Revenues for the second quarter of 2019 were $285.7 million compared to $268.4 million in the prior year quarter, representing a 6.4% increase. As Julie mentioned, this increase was fueled by residential HSD revenue increase of 8.5% and the business services revenue increase of 29.3%. Excluding Clearwave operations, total revenue increased 3.9% year-over-year. Net income in the second quarter was $36.4 million and net income per share on a fully diluted basis was $6.35 per share. Operating expenses were $95.7 million or 33.5% of revenues in the second quarter compared to $91.8 million or 34.2% of revenues in the prior year quarter or a 70 basis point improvement. Selling, general and administrative expenses were $60.1 million or 21% of revenues and $54.2 million or 20.2% of revenues for the second quarter of 2019 and 2018, respectively. The increase in SG&A was primarily attributed to higher rebranding, acquisition-related and other expenses incurred during the quarter as well as additional costs related to the Clearwave operations. Adjusted EBITDA was $137.6 million for the second quarter of 2019 and increased 8.1% from $127.2 million in the prior year quarter. Our adjusted EBITDA margin increased 80 basis points year-over-year, going from 47.4% to 48.2%. Capital expenditures totaled $63.9 million and $49.8 million for the second quarter of 2019 and 2018, respectively. Included in the current quarter were $2.5 million of capital expenditures related to Clearwave operations. Year-to-date, capital expenditures as a percentage of adjusted EBITDA and revenue were 40.8% and 19.6%, respectively, in line with our expectations. In the second quarter of 2019, we paid $11.4 million in dividends to shareholders. During the quarter, we borrowed $325 million under our new Term Loan B maturing in 2026. We also refinanced our existing Term Loan A with a new $250 million Term Loan A, established a new $450 million Delayed Draw Term Loan A and expanded the capacity of our revolving credit facility to $350 million. These loans mature in 2024. Proceeds from these transactions together with cash on hand were used to redeem $450 million of senior unsecured notes on June 15 with the remainder to be used to finance the Fidelity acquisition, which is expected to close early in the fourth quarter, and for other general corporate purposes. From a liquidity standpoint, we remain in excellent position as we had approximately $102 million of cash on hand as of June 30. We continue to generate significant free cash flow. And at quarter end, our debt balance was approximately $1.3 billion, consisting of term loan borrowings. Overall, our debt-to-adjusted EBITDA after netting cash on hand against debt was at 2.2x, providing us with ample liquidity. We also had 345 point -- $344.5 million of available for borrowings under our revolving credit facility as of the quarter end. On a separate note, our residential voice ARPU increased $4.10 from prior year as a result of certain pass-through fees that were reported on a net basis historically. Residential voice ARPU would have decreased slightly to 33 point -- $33.14 from $33.22 if reported on a comparable basis. We are pleased with another healthy quarter and excited about the opportunities we have ahead as we look forward to a busy second half of the year. Ashley, we’re now ready for questions.
Operator: [Operator Instructions] The first question comes from Zack Silver, B. Riley FBR.
Zack Silver: Okay. Great. Thank you for taking the question. I’m wondering if we can talk first about the re-branding and whether you’ve seen any early benefit or maybe even negative from a subscriber perspective with regard to either gross adds or churn?
Julie Laulis: Hi, Zack. It’s Julie. I think it really is too early. I mean we just started going out to market in June and the actual system locations are just changing signage, uniforms, trucks as we speak on a rolling basis. It doesn’t just flash cut, right? We did do a baseline study with our customers before we began and we will do another one at the end of the summer as well as the end of the year to capture their understanding of the brand and their interactions and perception of the brand. I would say from social and talking to our associates, the consumers are having similar reactions to the brand as our own associates did. I think they like the idea of it, but some of them are like, are we sending the payment to the right place? In this day and age of security, people are very concerned. Is Cable One Sparklight? Is my check going to the right place? Did somebody buy Cable One? So we’re clarifying things like that. So it’s early.
Zack Silver: Okay. That’s great. And then another one, kind of a 2-parter, is just if you could update us on the unlimited plan penetration? And then perhaps you guys are still getting a benefit from customers taking higher speed tiers, but just wondering if you’ve not any change in the actual number of customers taking them, but I guess the rate of change and the amount of customers going up tier from maybe the year-ago period.
Julie Laulis: Sure. Maybe I’ll give a couple of stats from our recent pricing and packaging change that took place in January. We are continuing to see over 50% of the folks sell in at higher tiers than our standard 100 meg flagship. We are seeing an acceleration in the sell-in of our unlimited plan. It is selling in over 10% at this point in time. That’s the plan where for $40 additional, you’ll get unlimited data on any plan that you buy. I’m trying to think of others that might be interesting. I think the people who have our new pricing and packaging at this point in time, our flagship in that group is actually the 200 meg plan. So in our general base, it’s still 100 meg, but of those who have the new pricing and packaging, 200 meg is the service level that has seen those customers.
Operator: Your next question comes from Craig Moffett with MoffettNathanson.
Craig Moffett: For Julie and Steve, a question on margins if I could. Steve, you called out the still elevated SG&A and some of the reasons why SG&A is higher. If I kind of normalize that, you’re getting reasonably close to 50% margins. How high do you think margins can get in your business? And as you think about the drivers for that, can you just maybe help us understand the margin trajectory over the -- both the next year or so and then also longer-term?
Steven Cochran: Well, we clearly won’t give any direction on where we go exactly over the next year, but I think what I would say anyway to that -- and Julie, add, if you agree or not -- but I think in general, as we continue to migrate and transition our customer base to less and less video and more and more data and commercial services, both of those have obviously much higher gross margin businesses and then much higher EBITDA margin profiles. And so as we continue to make that change, we see no reason why those EBITDA margins won’t move to where we think the product margins are. And with that, I think being in the cable industry a long time, we always thought 50% was kind of that cap, but that was a cap that was kind of generated by the fact that video was part of it, and it’s a much different mindset now with video being out of it. So I don’t think we think as video -- we don’t think 50% as any kind of cap, and we think we will obviously move. We’ll be on that over the next five to 10 years.
Julie Laulis: And I agree. The mix is a big part of it. And we do tend to focus on continuously improving on the expense side too, Craig. It’s part of the DNA here, so we pay very close attention.
Craig Moffett: And if I could ask a corollary question. Your capital intensity, I think you’ve pointed out in the past that you’ve cautioned against excessive enthusiasm for capital intensity declines just because the denominator, without video, is smaller. But can you just talk about kind of the same atmospherics, if you will, around capital intensity and how we should think about longer-term capital intensity trends?
Steven Cochran: Yes. So I think -- clearly, we think the base business capital will go down as a percent of revenue. Will it go down as low? No, not as long as -- not in line with where I think the industry is talking about going. And that’s for the base capital. I mean to be perfectly honest, I mean the best use of our capital base is to invest back in the business. And more than anything, we want opportunities to expand fiber, expand network, grow customers, especially invest within our commercial business. And so while we believe that it will go down on what the base is just because of the nature of the growth and the efficiency and the investments we’ve made in the network already, our hope is actually that we find many opportunities to redeploy our cash back into the business. So we probably won’t go and give guidance in general, but we’ll probably give even less guidance on this because we’re looking for opportunities to be able to invest in the business because we think that’s the best way to get shareholder return.
Operator: Your next question comes from Philip Cusick with JPMorgan.
Philip Cusick: Julie, can you give us an update on what your typical promotions are in more and less competitive markets and what that mix of sales looks like?
Julie Laulis: Sure. So Phil, in 2018, we sort of had what I would refer to as a cooling off period where we were establishing value with our customers. So what we did is we pulled off of our promotions and used our everyday price to, again, really establish value. Then we started doing tests across a variety of different markets to figure out what our customer choices appealed most. And then we launched our pricing and packaging in January of this year. This year, we -- the majority of the time, we have basically everyday low pricing with short periods of sale. And those periods of sale are typically -- well, they’re always on our flagship service, our 100 meg service. So that is to say, and here’s maybe an interesting point, that when someone gets a promotion, they get a promotion on that 100 meg service. We just said that over 50% of the people who are taking our new pricing and packaging are coming in above that level. All the services and tiers above that level are not discounted. They do not have promotions around them. So the thing that does have promotions around it is the flagship service and, in certain markets and certain demographics, our 15 meg service. And typically, that will be $10 off the retail rate for 3 months, on occasion, longer.
Philip Cusick: And you’ve talked about pushing harder in some of the -- again, some of the more competitive markets. Is that not happening anymore today?
Julie Laulis: Yes. No, we definitely do not have one-size-fits-all anymore in our -- what I would call our hypercompetitive market because technically all of our markets are -- have some sort of competition. Whether it figures or not, we could debate. But in our hypercompetitive markets, we -- our biggest lever is, honestly, unlimited data. And that’s what those markets get versus reduced pricing by and large.
Philip Cusick: And between integration savings and revenue picking up, we’ve talked about EBITDA performance ramping through the year. Any reason to think that doesn’t happen?
Julie Laulis: No. Actually, I see -- when I think about how our year is shaping up, our strategy for the year is really playing out and momentum is gathering. If you think about it, we didn’t take an across-the-board rate adjustment for HSD in January. Instead, we did put our new pricing and packaging. And as the year goes by, we have more and more people on those packages that have higher sell-in, that take the unlimited, that drive the ARPU up, as well as we’re just rolling out usage-based billing in NewWave at this point in time and the synergies really start kicking in towards the end of the year and into 2020. So I think momentum is on our side.
Operator: Your next question comes from Brandon Nispel with KeyBanc. Please go ahead. 
Brandon Nispel: Julie, I’m curious. Have you ever tried to quantify what the addressable market is in your footprint for business services? And then you mentioned accelerating some investments there with Clearwave. Can you talk about where those are going to support?
Julie Laulis: So, in terms of quantifying, I think what you’re asking, Brandon, is what is our TAM sort of in the business services world?
Brandon Nispel: Right.
Julie Laulis: So we’ve done that for legacy CABO. We have not done that for NewWave. Certainly, not for Fidelity yet.
Steven Cochran: And we have it for Clearwave.
Julie Laulis: And we have it for Clearwave. So in part, we have it. And so we sort of used those results and extrapolate. In terms of investments in Clearwave, here are a couple of examples. We are in the process of upgrading our core there from 10 gig to 100 gig, and that’s being driven by mobile providers who are asking for that. So we -- basically, the sales are already there, and that would be done by the end of the year. We are also putting in capital in order to buy large construction equipment and more fiber so that they can accelerate on what they’re already doing really well. We are also, from an optional standpoint, adding headcount. So those are just a few examples of the investments, both on the capital side and operating side, that we’re making in Clearwave.
Brandon Nispel: Got it. I guess I didn’t quite catch the TAM number. And then I guess I’m curious, within this commercial business, is it primarily carrier customers, enterprise, SMB? And what are the products, the service set that you primarily provide?
Julie Laulis: I apologize, Brandon. I missed the first part of your question.
Brandon Nispel: I was just trying to get the TAM that you guys had for Cable One and the business footprint, your footprint.
Julie Laulis: That’s not something that we’ve shared before. We typically will talk about our penetration in the marketplace, but not our total TAM.
Steven Cochran: Yes. Needless to say, our penetration of the addressable market is much lower than our penetration of customers because we kind of owned the SMB businesses in our market and we really just recently started going after the enterprise and higher level services. And so that’s the opportunity that we see in the commercial space is obviously continuing to serve those customers we have well and driving whatever penetration gains we can, but more importantly, continuing to move upmarket and gain a better share of the higher-revenue customer opportunities.
Julie Laulis: Right. And the percentage of sales that are coming from that upmarket segment are growing quarter-over-quarter.
Operator: Your next question comes from Stephan Bisson with Wolfe Research.
Stephan Bisson: Just a couple. I was wondering, could you kind of describe Fidelity’s profile and how it looks compared to CABO? I guess how far down the road they are on shifting to connectivity and improving margins?
Julie Laulis: You could start.
Stephan Bisson: Sure. Just where they’re at in the process, I would say they are much closer to where we are from a strategy standpoint than NewWave was when NewWave was acquired. Their video penetration looks similar to ours. I think from a mentality standpoint, I think there’s a lot more people that’s kind of already embraced that as a concept as far as where the business is going and how it’s going. And so we think that makes that part of the transition much easier. And so from that standpoint, I think we feel very aligned with where they are.
Julie Laulis: Right. But from a margin perspective, there’s room to continue to look alike to CABO’s financials.
Stephan Bisson: Great. And is that margin improvement where you see the most opportunity in those assets?
Julie Laulis: Well, I guess I would call it sort of the look-alike to our financials, whether from HSD ARPU to overall margins to there’s a little bit of synergies thrown in there, it’s a little bit of everything.
Steven Cochran: Yes, and they’re doing a lot of the same things we are. They’re growing commercial. They’ve got nice opportunities to continue to move upmarket in commercial. They’re expanding. And so I think for all of those reasons, it’s just a great fit. It really just adds additional footprint for us to take a strategy that’s working very well and continue expanding that.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Julie Laulis for any closing remarks.
Julie Laulis: Thank you, Ashley. I want to thank all of our associates for a great quarter. I will be participating in a fireside chat at the KeyBanc Capital Markets Technology Conference next Monday, which will be webcast on our Investor Relations site at ir.cableone.net. We appreciate everyone joining us for today’s call and we look forward to speaking with you next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.